– :
Operator: Welcome to the Entravision Communications Corporation second quarter 2008 earnings conference call. As a reminder, all participants will be in listen-only mode. There will be an opportunity for you to ask questions at the end of today’s presentation. (Operator instructions) For your information, the conference is being recorded. At this time, I would like to turn the conference over to Mr. Walter Ulloa, Chairman and Chief Executive Officer. Mr. Ulloa, go ahead please.
Walter Ulloa: Thank you, Laura. Good afternoon everyone and welcome to Entravision's second quarter 2008 earnings conference call. Joining me today is Philip Wilkinson, our President and Chief Operating Officer and Chris Young, our Executive Vice President and Chief Financial Officer. Before we begin, I must inform you that this conference call will contain forward-looking statements that are subject to risks and uncertainties that could cause actual results to differ. Please refer to our SEC filings for a list of risks and uncertainties that could impact actual results. In addition, this call is the property of Entravision Communications Corporation. Any redistribution, retransmission, or rebroadcast of this call in any form, without the express written consent of Entravision Communications Corporation, is strictly prohibited. Also this call will include certain non-GAAP financial measures. The company has provided a reconciliation of these non-GAAP financial measures to their most directly comparable GAAP measures in today's press release. The press release is available on the company’s web site and was filed with the SEC in a Form 8-K. In addition, with the announced sale of the Company's Outdoor Division at March 31, 2008, Outdoor was classified as a discontinued operation and the results of operations are separately reported for all periods presented. As anticipated, the second quarter of 2008 proved to be a challenging operating environment for both our radio and television businesses as economic headwinds continue to have a measurable effect on advertising budgets across many industries. Further, in the second quarter of 2007, we benefited from approximately $1.2 million of revenue from Reventon, our hugely successful concert hosted by our Los Angeles based radio affiliate, KSSE Super Estrella. That event would be held in the third quarter of this year and as a result, we were not able to report revenue from the event in this quarter. Despite these challenges, we maintained our focus on increasing our audience share in key markets, actively managing our variable cost to improve our cash flow performances, making sure that we are well positioned to maximize our revenue share when growth in advertising returns to our television, radio, and interactive platforms. Growth in our audience share has always been at the forefront of our priorities and accordingly our investments in our television, radio and interactive businesses are concentrated on capitalizing on the increasing spending power of political influence of the US Hispanic population. We achieved our goals by providing programming and will continue to attract and retain this highly coveted and continuously growing audience. With our audience share as our greatest asset, our sales teams continue to service existing accounts, actively targeting new advertisers, of yet to directly participate Spanish language advertising. Turning to our financial results for the second quarter, our consolidated second quarter revenue fell 5% versus the same period in 2007 to $62.9 million. Consolidated adjusted EBITDA decreased 14% to $22.4 million versus last year. Our free cash flow per share decreased 21%. During the second quarter of last year, we benefited from $1.25 million revenue received from Reventon. Earnings per share in the second quarter applicable to common stockholders was $0.12 per share. These results were in line with the guidance provided during our first quarter earnings conference call. Turning our television segment, revenue decreased 3% versus the prior year, with local and national revenue declining 1% and 5% respectively. By comparison TVB reported second quarter 2008 spot TV revenues to be down 7.6% overall, with local and national declining 7.2% and 8.2% respectively. We were encouraged with the fact that our 2008 second quarter performance had less to do with one-time political revenue and more to do with improvements in several key advertising categories, including fast food, services, entertainment, and health care. The revenue decline was primarily due to macroeconomic events that resulted in a soft advertising environment, specifically within the automotive segment. Our auto category fell 18% in the quarter, driven directly from Tier-1 and Tier-2 domestic automakers, General Motors and Chrysler, Jeep, Dodge. We have our focused on efforts on providing customized marketing solutions for local dealers which combined traditional television, radio, and online campaigns with our new capabilities. Offsetting the declines in automotive were increases in several key advertising categories, including services, health care, entertainment, fast food, and finance. In addition, our sales team combined to add 68 new advertisers to our television division spending over $10,000 each within the quarter. Our fastest growing advertisers within the quarter included Cricket Communications, Wal-Mart, Nissan, Taco Bell, Macy [ph], and Kentucky Fried Chicken. We continue to be optimistic that political spending will make an impact in the second half of 2008. Candidates continue to highlight the importance of the Hispanic vote and have identified four key battleground states: Nevada, New Mexico, Colorado, and Florida. Our television, radio station, and web sites in these four key battleground states are the most effective way to reach Latino voters. Turning to our ratings performance, our Univision affiliates extended their ratings leadership positions with the May 2008 sweeps. Our Univision Affiliate Group continues to dominate ratings in their respective markets, with 10 of our Univision affiliates number one or number 2, adults 18 to 34, sign on to sign off, regardless of language. TeleFutura, in many of our markets, is the number two ranked Spanish language television station. In the May 2008 survey, seven of our Univision affiliates were ranked one or two in primetime, adults 18 to 34, regardless of language. Our local news programming continues to perform extremely well. It enhances our value to the community and creates an attractive opportunity for advertisers. In addition, it has played a critical role in our ability to attract political and issue-specific advertising and should represent an attractive platform for election spending 2008. We are already seeing the potential for some of our markets such as Colorado, New Mexico, Nevada, and Florida to become battleground states in the presidential election. Year-over-year, 13 of our local news markets were either number one or two, adults 18 to 34, regardless of language. This success with our local newscast places us in a strong position as we enter the presidential election cycle. Our local late news showed similar success as seven of our Univision affiliates were number one or two, adults 18 to 34, regardless of language. The group rating grew 8% for adults 18 to 34, increased 17% for adults 25 to 54. Taking a look at national news, 12 of our affiliates ranked number one or two with adults 18 to 34 regardless of language. TeleFutura also continues to post impressive rating gains. In the majority of our markets, they are the second most watched Spanish language TV station. Year-to- year, our TeleFutura group was (inaudible) sign on to sign off with adults 18 and 34. Locally, three affiliates enjoyed triple-digit growth. Boston increased 100%. Monterey and Palm Springs reached up a 100%. Other shining stars were Tampa with a 50% increase and Yuma-El Centro rising 33% during the same time period. Primetime among adults 18 to 34 enjoyed triple-digit growth with four of our TeleFutura affiliates. Our San Diego TeleFutura affiliate grew 300%, Monterey was up 200%, Palm Springs was a 100%, and Yuma-El Centro saw 600% increase. Additional shining star during the same period was our Corpus Christi TeleFutura affiliate with a 25% increase in primetime viewing 18 to 34. Our (inaudible) for the July book indicates continued solid ratings growth with our Univision and TeleFutura Television affiliate groups overall viewing primetime and early news based on household viewing. Our radio division similar to the whole industry had a soft quarter as revenues decreased 9%, while the overall industry is projected to be down 6% according to an average of the three months in the quarter by the Radio Advertising Bureau. However, if one excludes Reventon from the second quarter, our radio division would have reported a revenue increase of 4%. It is important to point out that in the second quarter of 2007, the radio division grew revenue by 9% which created difficult comparisons for 2008 in a soft advertising environment. In light of the weakened economy, we are outperforming the market in key markets such as Denver, Sacramento, and Las Vegas according to Miller Kaplan. Excluding Reventon for the radio division, April was up 1%, May was down 6%, and June was down 8% compared to the industry which reported April down 1%, May down 8%, and June down at 9%. Once again, we outpaced the industry as a whole. Our top-five revenue categories for the quarter were automotive services, travel and leisure, retail, and telecommunications. Of the top growth categories in the quarter, services, fast food restaurants, beverages, and grocery led the way. We experienced softness again in our top category, automotive, where we experienced a decrease of 28%. Automotive represented 16% of our total revenue for the quarter. When we breakout the quarter, Tier 1 was down 46%, Tier 2 decreased 23%, and Tier 3 experienced decline of 29%. The one bright spot in auto was Ford Motor which increased our spending in the quarter by 174%. As is the case with the television division, we anticipate higher spending in our key medium markets in the third quarter as presidential and senate races move closer to the November election. For the quarter, we welcomed 26 new advertisers to Entravision radio who spent more than $10,000. First time advertisers included American Apparel, Global Solutions Vitamins [ph], Vee Quiva Casino, South Bay BMW, Safelite, and Wet 'n' Wild in Orlando. We saw double-digit growth in seven of our top 10 advertisers, which were led by Home Depot increasing spending by 137%, Pepsi Cola was up 21%, Burger King increased 7%, and Wells Fargo was up by 72%. Looking at the Springs rating released today, we continue to grow our share within a number of our markets on a year-over-year basis. Piolin por la Mañana continues to perform well for us. Piolin por la Mañana is a number one ranked morning show in adults 18 to 34, regardless of language in Denver and Stockton and number one in Spanish in Sacramento. Piolin saw a double-digit growth in both – Denver of 12% and Sacramento which increased 18% in average quarter persons in our key demo adults 18 to 34, winter 2008 compared to spring 2008. Los Angeles remains a very competitive market and we believe the programming changes we initiated in January are starting to generate positive results. Whereas at KSSE Super Estrella which is also the flagship station of our network, we experienced a total weak increase of 33% in spring 2007 compared to spring 2008 in our key demo adults 18 to 34. Total week come [ph] for KSSE increased 11% and the stations time spent listening increased 45 minutes to 6 hours and 45 minutes per week. La Regadera con La Chokolata which debuted on January 7 grew 85% on the same period in demo. This show is hosted by Oswaldo Diaz who performs the role of the lead character, Chokolata, and is joined by Super Estrella’s morning jockey Yssac for a truly unique morning show. On May 5th, we converted KLYY to our popular Jose format and with this switch, the station experienced an average quarter hour share increase of 38%, winter 2008 compared to spring 2008 in adults 18 to 34. According to the June evaluation data for the Los Angeles portable people meter service which is scheduled to commercialize in October, our Los Angeles Spanish cluster are better than our Spanish language counterparts in the L.A. market. And we have – as we have stated in previous calls, we still believe that electronic measurement is a far more desirable method for measuring audiences than diary. We are very concerned with the Hispanic panel size, sample performance, fluctuations, language waiting and the metrics that Arbitron is using to determine what is acceptable panel performance. We are participating in several industry groups including the Spanish Radio Association, AHA, and the MRC. Over the last couple of weeks, Arbitron has announced several quality improvement initiatives that will take a couple of years to implement. While we are disappointed that Arbitron reinstate [ph] the PPM rollout, we are preparing for its introduction. This preparation includes educating our clients and agencies on PPM, what to expect, and how to utilize radio in our clients marketing plans. Turning to our interactive division, at the beginning of this year, we will begin to build our digital platform and are pleased to announce today that we have state-of-the-art web sites for the vast majority of our television and radio properties. These interactive sites contain a viewer/listener engagement program through our partner MasterOne [ph] streaming audio to stream the world, video news and entertainment stories for our local television stations, a music store to music to go, mobile texting to single point and many other features. We feel that lifestyle content combined with our television and radio station imaging, branding, and aggressive cost promotion will deliver web sites that service our viewers and listeners more effectively increasing visitors and pager views. We have been actively selling our digital platform for less than two months and in this shorttime period, we’ve generated more than $200,000 in incremental revenue for the company. This amount of new revenue is less than the total amount we spent in the development and implementation of our digital platform since the beginning of the year. According to the most current research on Internet usage, over 70% of Latinos under the age of 44 are connected to the Internet. We have also contracts with Borrell & Associates, the foremost authority in local Internet sales, training, and research. We have designated in each of our markets a digital sales specialist which were trained by Borrell and their sales teams and we are continuing the sales train our interactive sellers in key Entravision markets through the rest of the year. In June, we hired Esteban Lopez Blanco, an expert and pioneer in expanding digital strategies to lead Entravision interactive. Esteban and his team are doing outstanding work for the company. Last month, in collaboration and partnership with Comcast, we announced that we will be providing our Univision television stations, radio stations, and web sites with up-to-the-date Spanish-language content and coverage from the 2008 Democratic National Convention in Denver, August 25th to 28th. This is another commitment by Entravision to provide the ever-increasing important Latino voter base with the most current information on this year’s presidential election. To conclude, it is apparent that Entravision is feeling the results of the weak economic state. Consequently, the industry-wide slowdown in advertising spending both – in all of our divisions, television, radio, and interactive. We intend to continue operating as efficiently as possible without sacrificing market share or content and our focus still remains on increasing the Hispanic viewer, listening base, and our online users and our strategically placed media clusters and web sites which are located in the nation’s fastest growing and most densely-populated Hispanic markets. I will now turn the call over to Chris Young for a review of our financials.
Chris Young: Thank you, Walter, and good afternoon everyone. The company sold the Outdoor advertising business in May 2008 to Lamar Advertising for $101.5 million including an adjustment for working capital, no longer has outdoor operation. In accordance with SFAS 144 Accounting for the Impairment or Disposal of Long-Lived assets, company reported the results of the outdoor discontinued operations within consolidated statements of operations. As the outdoor unit has been included in discontinued operations, the following results do not include the outdoor segment. As Walter discussed, net revenue for the quarter was $62.9 million, down 5%. Operating expenses increased $0.1 million to $36.9 million and consolidated adjustment EBITDA decreased to 14% to $22.4 million. Free cash flow, which we defined as consolidated adjusted EBITDA minus capital expenditures, cash interests, cash taxes plus interest income, was $0.11 per share. Operating expenses increased to $36.9 million for the quarter from $36.8 million, an increase of $0.1 million. The increase was primarily attributable to an increase in wages, utility, and rent expense, partially offset by a decrease in second quarter expenses associated with moving our annual Los Angeles promotional event from the second quarter to the third quarter in 2008 and a decrease in expenses associated with a decrease in net revenue. Corporate expenses increased to $4.5 million for the quarter from $4.4 million, an increase of $0.1 million. The increase was attributable to an increase in non-cash stockbased compensation. Free cash flow in the second quarter of 2008 was $9.9 million or $0.11 per share. The EPS for second quarter of 2008 applicable to common stock holders was $0.12 per share compared to an EPS applicable to common stock holders of $0.08 per share in the second quarter of 2007. The $0.12 per share was higher than our guidance of $0.05 per share primarily due to the increasing value of our swap agreements. Excluding the increase in the value of our swap agreements, the EPS for the second quarter was $0.05 per share in line with our guidance. Turning to our balance sheet, as of June 30, 2008, our total debt was $473 million and our trailing 12-month EBITDA as adjusted was $88 million. Out net debt-to-EBITDA as adjusted was 4.1 times. Cash on the books was $117 million at June 30, 2008. The company also announced that it repurchased 2.3 million shares of Class A Common Stock for approximately $13.7 million in the second quarter of 2008. The company announced that it repurchased an additional 1 million shares of Class A Common Stock for approximately $3.4 million as of July 31, 2008. Also, as of July 31, 2008, the company had approximately 89.6 million total shares outstanding across all classes of shares. For the third quarter of 2008, the company expects net revenues to decrease by low to mid single-digit percentages and operating expenses to increase by approximately low single-digit percentages as compared to the third quarter of 2007. Excluding non-cash stock-based compensation, corporate expenses are expected to be approximately flat as compared to the third quarter of 2007. The company expects approximately $0.4 million in operating expenses and $0.5 million in corporate expenses related to non-cash compensation expense in the third quarter of 2008. Depreciation and amortization is expected to be between $5.5 million and $6 million. Net interest expense for free cash flow purposes is expected to be between $7.5 million and $7.8 million. We expect CapEx to be between $4.8 million and $5.2 million for the third quarter of 2008. We have budgeted for a total of $16 million of CapEx for 2008 as a whole. The $16 million CapEx figure includes CapEx for the remaining digital television conversions and HD upgrades at our radio division. Third quarter earnings per share is expected to be $0.04 to $0.05 per share and free cash flow to be $0.10 per share based on 89 million shares outstanding. This concludes our formal remarks. Walter, Philip, and I will be happy to take your questions. Operator?
Operator: (Operator instructions) Our first question is from Tony Wible of Citigroup. Go ahead please.
Tony Wible – Citigroup: Good afternoon, gentlemen. I had a couple of questions actually on the balance sheet. I was hoping you could may be let us know what the credit facility balance was at the end and what is your thoughts on the use of capital going forward, a number of stations up for sale and you guys now have a relatively healthy balance sheet, do you anticipate continuing to buy back stock, paying down or looking to do deals?
Chris Young: Hey, Tony. With regard to share repurchases, as you know, we have been active historically. We announced a couple of quarters ago that we had a new $100 million stock buyback plan and we intend to continue that plan into the foreseeable future, though maintaining our options with regard to the cash that we have from the outer proceeds. There is M&A activity out there that we continue to look at, as well as the possibility of paying down debt. But right now, the primary use of the cash is what you’ve seen historically over the past several quarters with regard to share buyback.
Walter Ulloa: We, like most media companies, continue to be very disciplined about how we look at television or radio assets that are available for sale and we are still – if we see an opportunity to strengthen our media cluster or expand our Univision or TeleFutura television groups, we will. But, as I said, we’ve got a pretty strict model that we look at.
Tony Wible – Citigroup: (inaudible) that if there was M&A, you would more want to do it on the TV side rather than radio?
Walter Ulloa: We’ve always said that we want to look at opportunities to expand our Univision and TeleFutura television groups and to upgrade them whenever we can. We’re in the process of upgrading our Univision television affiliate in the Colorado Springs problem market where we are going to upgrade to a full power later this month. We are also adding a new full power in the Hutchinson, Wichita, Kansas market. And there is another market that we are also planning to hopefully announce here where we are going to be upgrading to a full power. So as far – I would say that we are looking to grow our television group first and then with regards to radio, wherever we can bolster our radio group where we have television, we are certainly looking at that. And then, where we can add radio to our television business, we think that is a good match as well.
Tony Wible – Citigroup: Would you think that you would be eligible to get some of the spectrum that is now going to be made available with the Sirius/XM merger for under represented programming?
Walter Ulloa: What was the question?
Tony Wible – Citigroup: I guess as part of the concessions on Sirius and XM’s merger, there is about 4% of their spectrum that is going to be made available for groups that are under represented at radio today. Would you feel that you guys could make a run for some of that spectrum?
Walter Ulloa: We have indicated to the new company that we think that we would certainly be available for an opportunity to operate some of that spectrum. We think that we have the infrastructure to certainly add national Spanish language radio channels to our current radio business.
Tony Wible – Citigroup: And a quick question for Chris. I was just hoping you can go through the swap dynamics a little bit it more. I guess last quarter, there was a loss on the swap. This quarter there was a gain on the swap. Can you kind of talk through what drove the magnitude of the change from the first quarter to second quarter?
Chris Young: Sure, Tony. Well, basically, you’ve got a couple of swaps in place that fixed our interest cost at essentially 6.2%. We had a total interest expense during the quarter of $7,660,000. The change in swap value because of the movement of interest expense totaled to $10.832 million. When you extract from your core interest expense, you end up with a negative expense which comes in addition to the P&L and that was $3.172 million. The calculations of those values are done in-house by the shops with whom we have the swap agreements.
Tony Wible – Citigroup: What do we anticipate with the swap going forward based on the current LIBOR curve?
Chris Young: It is a function of what interest rates do in the near term and basically, what you are asking me to do is to predict where interest rates are kind of going. If I knew that, you are a very rich man.
Tony Wible – Citigroup: Right. Last question. Is there any update on the Televisa and – I know, it is a situation we hope that everything gets resolved – and it is for everybody’s best interest to have that resolved, but any update on where that stands and any kind of contingency plan, if there is any issue with the Univision content?
Chris Young: There is no update on that – on where the parties stand. We know that they are still engaged in discussions of some kind and we know that the trial has been postponed until October. We still feel confident that both Univision and Televisa will come to some agreement that is mutually beneficial to both companies.
Tony Wible – Citigroup: Great.
Chris Young: Tony, you asked at the onset – you had a question about our availability under our credit agreement, I think.
Tony Wible – Citigroup: Yes, just what the balance was at the end of the quarter.
Chris Young: The total debt outstanding for the quarter under the credit agreement is $470 million. We basically got two tranches of the credit agreement; one is the term loan and that is the $470 million that is outstanding and then we have got $150 million revolver that is undrawn. That agreement expires in 2012.
Tony Wible – Citigroup: Great. Thank you.
Operator: Our next question comes from Mark Wienkes of Goldman Sachs.
Mark Wienkes – Goldman Sachs: Thanks. Good afternoon. Two quick questions. It sounds like the disparity between the weaker local versus stronger national over the past year reversed this quarter, is that a result to severe specific efforts to improve local or I guess what is happening there? And then second would be on auto, financials, real state, retail, just broadly speaking across most of the entertainment media companies that we see reporting are all pulling back on their ads spend broadly. So as you talk to advertisers in different categories, what categories do you think might emerge in the second half of the year to pick up the slack from those that are not spending as much?
Philip Wilkinson: Yes. Hi, Mark. This is Philip Wilkinson.
Mark Wienkes – Goldman Sachs: Hey.
Philip Wilkinson: We see local – or national is certainly a little softer than our local business since (inaudible) on the TV. Q2, our national is down 5, our local is down 1. But it is really more a function of one big category on the national side which is automotive. I think the top five advertisers on TV, all five of them are automotives, so when we said that the Tier 1 was significantly impacted and that overall auto dropped, it was mostly in national business. So, I think that’s where you see the national suffering more than the local. We have done a better job locally, certainly, and we have put a big push on it because we have greater control on our local business and we have better more intimate relationships with the advertisers and the clients. But it is primarily the auto business on the national.
Mark Wienkes – Goldman Sachs: Right.
Philip Wilkinson: We have seen services pick up back in the second quarter, both in TV and in radio, we were up single digits on TV and double digits on radio and services. That was mostly led by standing from insurance companies. That’s a good case for positive category. We also saw and this is kind of surprising, is last year in telco or telecom, we had Sprint and AT&T business. As you remember, both of them were name changes.
Mark Wienkes – Goldman Sachs: Right.
Philip Wilkinson: So we had a lot of branding advertising and that pretty much went away as the campaigns ended last year. But we held on in telecom in TV and did pretty well based on some business from cricket and then helped strengthen that category. FSR, fast service restaurants, the McDonald’s, the Jack in the Box, the Taco Bells, we saw an increase there and that’s our fourth largest category overall. So we saw an increase in TV and we saw an increase on radio and when we look at July, it’s really too hard to tell, a little further, August and September, and even last half of the year, we are seeing these same categories showing strength. So services Telecom, FSR, and then also healthcare. We’ve been doing quite well in healthcare. We are trying to see health offset some of that slower auto spending.
Mark Wienkes – Goldman Sachs: Any impact from the Bennigan's filing, Chapter 11 filing?
Philip Wilkinson: No.
Mark Wienkes – Goldman Sachs: No, okay. Great. Thank you very much.
Operator: The next question is from Marci Ryvicker of Wachovia.
Marci Ryvicker – Wachovia: Thanks. I have a couple of questions. But, first, can you update us on retransmission consent negotiations and anything you can tell us about your conversations with Univision?
Walter Ulloa: Marci, we continue to have conversations with Univision about our retransmission strategies, but we have not reached an agreement with them on how we might go forward. Our intent and plan is to go forward with Univision in the retransmission negotiations, but we do not have anything to announce at this time.
Marci Ryvicker – Wachovia: Okay. And then in terms of the digital transition next year, how are you preparing for this? Everything we have read basically tells us that the Hispanic demographic is the most unprepared of the people in United States.
Walter Ulloa: Well, we have done a couple of things. I will give you my thoughts and I’m sure Philip has some as well. We’re very active in promoting the transition on our airwaves, both television and radio. We have a campaign that is ongoing on how people can acquire the converters to convert and reminding people that these coupons are available. The other thing that we’re doing is, we’re actively involved in legislation as it relates to the digital rollout and the impact that it might have to Latino households along the U.S.-Mexican border and we have had some success there as well. So we are doing a lot of work as you pointed out, of the 20% of the 110 million households that receive their television by antenna, a great number of those households are Latino households. So we have really stepped up our efforts to do the best we can to educate and inform our Latino households about the upcoming digital transition.
Marci Ryvicker – Wachovia: I have one question on radio. Can you talk about how your LA cluster did versus the market in the second quarter?
Walter Ulloa: Our LA cluster in general, we had some significant growth. In terms of how it did with the competition…
Marci Ryvicker – Wachovia: Yes.
Walter Ulloa: The question?
Marci Ryvicker – Wachovia: I guess in terms of revenue.
Walter Ulloa: Oh, in terms of revenue. Well, we don’t provide that information. As you know, LA is very competitive and there are number of strong Spanishlanguage operators in the market. LA in general I think has been hit. The economic slowdown here has been may be more pronounced than in another markets, particularly smaller markets, but it is also a very big market and a robust market, so we think we will continue to make our stations better and improve our programming which we believe we are doing based upon the ratings and we think that we are going to continue to grow those stations.
Marci Ryvicker – Wachovia: Thank you.
Walter Ulloa: Thank you.
Operator: Next, we have a question from Lee Westerfield of BMO Capital Markets.
Lee Westerfield – BMO Capital Markets: Thanks. Just one detailed question if I may and except on the LA radio question. During the second quarter what fraction of your radio revenue did LA represent in round numbers? You’ve offered that in round numbers in; the past I just want to compare the statistic.
Walter Ulloa: What percentage of revenue did it represent for the radio group? I am going to say between 15% and 20%. But I would like to research that Lee and get back to you
Lee Westerfield – BMO Capital Markets: Walter, that is fine. All right, gentleman, I'm all set otherwise, but thank you very much.
Operator: (Operator instructions) We do have another question from Shannon Parrott of Symphony Asset Management.
Shannon Parrott – Symphony Asset Management: Hi. In your last quarter’s conference call, I saw that you mentioned an 18% drop in automotive category in television and I see that you did experience an 18% decrease in television this quarter. Are you anticipating similar numbers into the third quarter?
Philip Wilkinson: We are seeing similar softness going into third quarter. The number was correct, TV was down 18% in automotive and radio was down a little more than that. The radio is a much smaller portion of the overall revenue. That said, second quarter, we finished Ford, our number one advertiser which was a bright spot. We were up actually – slightly up in TV. We were up significantly, actually the largest growth we experienced in auto was with Ford in radio. Our Toyota business, which is our second largest auto advertiser, dropped slightly, off about $25 million on the TV side and Nissan, number 3, was up double digits. So we are seeing this softness coming primarily from the domestics and it is not unlike other stories in the media business when it comes to this category – it is primarily General Motors, Chrysler, Jeep, and Dodge on the domestic side. Our Ford business is slightly up. So, yes, the answer is we are seeing softness going into the third. On the other side, we have the other categories that are still showing strength, as we mentioned earlier, services, telecom, FSR and health care. And we have not seen, which we have expect to see a great deal of, any political as of yet. We expect this political to kick in at the end of August. We will have a full month of September on the national scene with the two presidential candidates and then we have a whole host of state races that we expect to come through. Hopefully, that helps on the categories.
Shannon Parrott – Symphony Asset Management: Perfect. Thanks for your help.
Operator: We have no further questions at this time.
Walter Ulloa: Okay, Laura, thank you. This concludes our second quarter investor conference call. We look forward to reporting to all of you in November our third quarter results. Thank you for participating.
Operator: Thank you for participating in the Entravision Communications Corporation conference call. This concludes today’s event. Feel free to disconnect at this time.